Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Artisan Partners Asset Management Second Quarter 2013 Earnings Conference Call. My name is [Mike] and I will be your conference operator today. [Operator Instructions]. At this time I will turn the call over to Ms. Makela Taphorn with Artisan Partners.
Makela Taphorn: Thank you. Good afternoon everyone. Before we begin, I would like to remind you that our second quarter earnings release and the related presentation materials are available on the Investor Relations section of our website. I would also like to remind you that comments made on today’s call and some of the responses to your questions may deal with forward-looking statements and are subject to risks and uncertainties. Factors that may cause our actual results to differ from expectations are presented in the earnings release and are detailed in our filings with the SEC. And we undertake no obligations to revise these statements following the date of this conference call. In addition, some of the remarks this afternoon include references to non-GAAP financial measures. You can find reconciliations of those measures to the most comparable GAAP measures in the earnings release and exhibits which are posted on the Investor Relations section of our website. And with that I will now turn the call over to our Chief Financial Officer Eric Colson.
Eric Colson: Thanks, Makela. Good afternoon and welcome to the Artisan Partners Asset Management business update and quarterly earnings call. I'm Eric Colson, CEO. And I'm joined today by C.J. Daley, CFO. Thank you for your time today. I hope you find this discussion useful. During this time I want to make sure to reinforce our long-term business strategy and approach through a current presentation of our operational and financial statistics. But more importantly, I want to begin a pattern of diving a little deeper into one of our primary beliefs. This quarter the deep-dive will focus on talent management. We are very committed to managing our business for passionate investors to deliver performance and results for our clients. Once I'm done, C.J. will take the lead on walking through our financials. Beginning with slide two, we have a basic set of business facts. This is the first of several slides that will hopefully become familiar to all of our call participants. Markets can fluctuate a fair amount point to point, particularly over short timeframes such as quarterly reporting periods. Our view of our business and how we measure and think about progress does not. I will make sure to highlight changes that we believe are important to discuss as I page through the presentation. Since our last reporting period, the change of note on this page are the change in assets under management and a number of investment strategies we offer. A relatively flat period for Global Equity markets. Our assets under management grew past $85 billion through a combination of organic growth and alpha generation from our investment teams. At the end of the quarter we launched our 13th investment strategy and first since 2010, Artisan Global Small Cap Growth. This strategy is managed by our Global Equity team. It is a natural extension of the mix of strategies currently managed by the team and a great opportunity to leverage the broad decision-making capability on the team. The next two slides provide a current view of our long-term investment results. As a reminder it is our goal to produce superior investment return on an absolute and relative basis, with integrity over a full market cycle. So when we look at investment performance, we answer three questions. Have we been faithful to the strategies' stated investment philosophy and process? Has the strategy produced good absolute performance? And how those strategies' performance compare to performance of its peers, competitors and the index? As of June 30th, 10 of our 12 investment strategies added value relative to their broad performance benchmarks over the trailing five and 10-year periods and since each strategy's inception. All 12 strategies have good absolute performance and followed their objectives with integrity. Slide four further reinforces the impact of our performance philosophy across our asset base. Our teams run active portfolios with high degrees of investment freedom. Each also adheres to a time-tested investment process. None have a process or incentive that pays much value on very short timeframes. Therefore the return patterns of all of our teams will be lumpy. That is evident in the one-year return. But each has proven to compound wealth for clients with 90% to 100% of assets, out-distancing the benchmarks over the five, 10 and since inception timeframes. Our mutual fund peer rating, which are highlighted at the bottom of the page, are a great illustration of how our results translate to peer ratings. On slide five I want to highlight our asset diversification. Our distribution strategy is focused on sophisticated investors with a long-term horizon to manage a consistent asset base. We have a deliberate capacity realization strategy. Ideally we want to see strong asset diversification by team, distribution channel, investment vehicle and geography. And we have a disciplined approach to seize because it is critical to talent retention. Managed well together, this contributes to stability in our business mix and investment teams. During the second quarter, the majority of our strategies experienced positive net cash flows, as did four of five distribution channels. Four of our five investment teams also experienced positive net cash flows, led by continued high demand for our global value team. I'd also highlight that our global distribution strategy continues to yield organic growth at a faster rate than the growth rate of the US. Our asset base is skewed towards the US given our history, so we expect that the strength of our growth outside the US will eventually begin to expand the pie of non-US assets as a percentage of our overall business. Slide six is a quick review of the three core principles that define who we are. This page is an important transition to a deeper look into our beliefs about talent management. Summed up in one sentence, we are a high value-added investment firm designed for investment talent to thrive in a growth-oriented culture. As I said last quarter, the real importance of knowing and communicating who you are is the ability to set expectations and deliver on those expectations consistently. We believe strongly in the philosophy and approach to define who we are and we believe it should be well-articulated. I have four slides prepared to elaborate on talent management. They touch on theory, our talent management structure, implementation, and results of our approach. First, turning to page seven, there are enormous amounts of literature on the topic of talent management. I have personally consumed a number of books on the topic all have the interesting insight. But if I've learned anything from all of them, it is talent management has to reflect your business and culture. In this slide I'm going to relate to one of the most popular books, Good to Great by Jim Collins. I'm sure most of you are familiar with business author Jim Collins. He has written a number of books that analyze the traits that make companies endure, grow and become great. In that book, Collins presents the hedgehog concept. It is designed to keep your focus simple with the right people. The concept is the intersection of the three circles. First, what are you deeply passionate about? Then what can you be the best at in the world? And finally, what drives your economic engine? Our model can be illustrated fairly well using this concept. Truly great investment talent has deeply passionate beliefs about their investment philosophy. They want to be the best investors in the world and they are driven by economics and align their long-term goals with the goals of their clients. We structured our teams autonomously to retain the purity of investment process our talent is so passionate about, to protect the time of our investment professionals, to maximize the hours they devote to investment decisions to help them become the best investors in the world. We align the interests of our investment professionals with clients because we don't ever want what drives their economic engines to conflict with clients'. And we pursue thoughtful growth because we want to retain our investment talent and attract new talent to our firm. Slide eight frames the structure and discussion on talent within our four management guide posts presented last quarter. We spent a lot of time on talent development because we are in a people business. Ours is walk in the door and ride up the elevator every morning. We want this to be the most attractive place in the industry to work for the type of investment talent that fits our culture. If we lose focus, if we emphasize the wrong things and we create the wrong incentives, we will create the potential for our business to become unattractive to investment talent both internally and externally. As a result, everything we do is designed to create an investment culture that will allow our talent to thrive. Our business management team focuses on the day-to-day work environment to deliver more time to invest, more freedom or autonomy to think creatively, thoughtful growth to build long-term value, not short-term revenue, and more economic alignment to build a sustainable franchise. If we stay focused on all these things, we believe we can be a great place for investment talent. Our measurement of a great place is a stable environment. This is an environment that is predictable and meet the expectations. Labor dramatic changes from past practices over a short period create instability with people, then clients and eventually shareholders. A great place provides stability and emphasis -- and emphasizes long-term success versus quarterly data points. Another characteristic of a great place is a commitment to evolving teams and to multi-generational franchises. Teams are based on a single decision-maker and a single product. For a franchise to develop, an environment must exist to foster multiple decision-makers and multiple products within a single philosophy. The implementation of our talent development strategy which emphasizes degrees of investment freedom and human capital is summarized on page nine. These two strategies are critical to reinforce our business model and culture. By providing degrees of freedom, we encourage people to think differently and pursue the creative perspective that drive value-added decision-making. As I mentioned, we launched our 13th investment strategy, Global Small Cap Growth, at the end of the quarter, which has provided the Global Equity team with additional freedom to put investible ideas to work. We also continued to network for investment talent using the expanded networks we established through our IPO process. We have not made any commitments but we have found a few investors that leave strategies viable for the institutional marketplace. We are in the middle of our assessment process which also looks for certain individual characteristics, business model and cultural fit. On the human capital side, during the last quarter we began our annual equity grant process to recognize value creation within the firm and align our interests for the long term. We believe that economic alignment for value creation is critical to our business model. Our historical and future success is dependent on stability of talent and multi-generational teams. We manage a highly merit-based compensation structure and equity ownership has always been a key part of our compensation strategy. Lastly, our Board of Directors approved our first equity grant as a public company. I have a few important details to share on page 10. First, we believe that equity awards are important to talent acquisition, retention and motivation, interest alignment with clients and shareholders, and ultimately risk management. If we are successful at properly aligning interests, we can reinforce our employees' commitment to the principles of who we are and increase our chances of creating more predictable outcomes and meeting the expectations of our clients and shareholders. Prior to IPO, we granted equity ownership in the form of partnership interests. The interests were a valuable currency but one that limited our ability to grant equity broadly across the firm, and became increasingly complex over time. With the completion of our IPO, we now have new, more traditional types of equity currently, public company equity, that we can add to an employee's total compensation structure. This new currency allows us to broaden equity ownership within the firm. The size of this year's grant reflects our reinvestment in talent, our private to public transition, and the strong growth of our business and value-creation for our clients and shareholders. Like any business that seeks to grow and thrive, a certain level of reinvestment in core assets is necessary. Our core assets are our people. And one of the ways we reinvest in that talent is through rewarding and incentivizing it with equity. In determining the proper level of this year's equity reinvestment, we were mindful that we are still transitioning from our practices as a private company. And as we've always -- as we always do, we consider individual value creation. In the transition from private to public, we created a process to convert everybody from our partnership equity to public equity. As we have stated, changing a people business should occur gradually to eliminate surprises. Our decision to allocate restricted stock was influenced by multiple factors but heavily predicated on the concept of gradual evolution. We are likely to use different types of equity in the future, not just restricted stock, but our compensation committee is still in the process of thinking about how equities should be distributed in the future and you should expect to see evolution in the process. C.J. will elaborate on the financial notes related to the equity awards in his part of the update.
C.J. Daley: Thanks, Eric. Good afternoon everyone. Slide 11 begins a review of our second quarter June 2013 results. In summary it was a strong quarter for our firm. It marked the first full quarter for our firm as a public company. AUM increased to $85.8 billion. Net client cash flows were $1.4 billion and translated into a 9% increase in revenue over the preceding first quarter ended March 31, 2013. Our adjusted operating margin improved meaningfully to 44.6%, but does not yet include the impact of post-IPO equity-based compensation expense. Net income per share on an adjusted basis was $0.64 per share. On July 17th our Board of Directors declared a dividend of $0.43 per Class A common share to shareholders of record on August 12. I will talk more about each of these metrics on the following pages. Moving to slide 12, [pending] assets under management was $85.8 billion, up 3% from assets of $83.2 billion at March 31, 2013 and up 34% from assets a year ago. Average assets for the second quarter were $85.3 billion, up 8% from average assets in the first quarter of this calendar year. The increase in AUM during the second quarter was due to $1.4 billion of net client cash inflows which equates to a 1.7% organic growth rate for the quarter and 7% annualized rate as well as 1.4% of market appreciation. Over 90% of the market appreciation in the first quarter was the result of our strategies in aggregate outperforming their broad-based benchmarks. For the six months ended June 30th, 2013, net client cash inflows were $3.6 billion. That's a 10% annualized organic growth rate. While second quarter net inflows were strong, as we expected, we saw a pull-back in investor activity this quarter. As we discussed previously, in our experience, net inflows are typically higher during the first quarter when compared to the second. Year to date, despite this, 10 of our 12 strategies and four of our five distribution channels had positive net flow activity that was generated by clients in the US and abroad. On slide 13 you'll see that our non-US client AUM ended the second quarter at $9.8 billion, up $600 million from last quarter and up 71% from $5.7 billion a year ago. Growth from US investors and to primarily our US mutual funds continue to dominate our flow activity this year, but we continue to make progress on increasing our non-US AUM as we generated $400 million of net inflow in the quarter and year to date $1 billion of non-US net inflows. Our non-US organic growth on a percentage basis annualizes at 14% based on the quarter -- current quarter and 24% based on the six-month period. Our financial results begin on slide 14. For the first quarter, revenues were $162 million on average AUM of $85.3 billion. That's an increase in revenues of 9% over the first quarter 2013 and 34% above the second quarter of 2012. For the six-month period ended June 30th, 2013, revenues were $310.2 million on average AUM of $82.3 billion. That's up 29% from revenues of $240.5 million in the six-month period ended June 2012. The weighted average management fee for the current quarter remained at 76 basis points. Second quarter adjusted operating income which excludes pre-operating equity-based compensation expense at $72.2 million, resulting in a 44.6% adjusted operating margin. Our adjusted operating margin this quarter benefited from higher revenues, lower compensation costs as the March quarter included a severance charge, as well as flat non-compensation costs. However, when thinking about future quarters, you need to factor in post-IPO equity-based compensation expense. We expect the equity grant we made this month will add approximately $3.4 million to expense in the September 2013 quarter. In addition, we expect our technology costs to uptick slightly for the remaining two quarters of the calendar year. Finally, next quarter we will begin to recognize costs related to obtaining the necessary client approvals in connection with the change of control for purposes of the Investment Company Act and the Investment Advisors Act that we will expect will occur in the March 2014 quarter. We intend to exclude the expenses from our non-GAAP adjusted earnings per adjusted share measure. Adjusted net income for the second quarter was $44.5 million or $0.64 per adjusted share. The equity-based compensation charge in the next quarter is expected to reduce adjusted earnings per adjusted share by approximately $0.05 per share. For the six months ended June 30th, 2013, our adjusted operating margin was 41%, up slightly from 40.6% from six months ended June 30th, 2012. And adjusted earnings per share was $1.11. The margin in this six-month period was negatively impacted by approximately 370 basis points as a result of the cash retention and severance charges. Slide 16 highlights our compensation ratio. As we discussed on the last quarter's call, our compensation expense include a fair bit of noise related to pre-IPO related compensation and a first quarter severance charge. We've broken out those components so you can see the ongoing expense and the compensation ratio more in the 41% to 43%. Of course this does not yet include the amortization of post-IPO equity-based compensation for which we have added a line in the schedule to remind you that this will begin to be a cost that we incur in the next quarter. The equity grant we made earlier this month consisted entirely of restricted shares of our Class A common stock that's in pro-rata over the next five years. The grant represented 2.25% per outstanding common and preferred stock. We expect future grants to consist of a mix of restricted shares and options and to represent around 2% of our outstanding capital stock each year. The size of this year's grant was on the upper end of our expected range at 2.25% and reflects reinvestment in our talent, strong growth of our business, and value creation for our clients and shareholders, and as Eric outlined, the transition from our prior year's practice as a private company. The ultimate charge resulting from this year's grant which will be amortized over five years will be larger than originally anticipated given the increase in our share price. We continue to expect that on a fully loaded basis our compensation ratio will grow to the mid-40s over time as a result of the annual equity grants. Conversely, that increase in the compensation ratio will be partially offset by scale as we grow our business and the roll-off of the expense from the investment team cash retention awards. Of course, future equity-based compensation expense is largely dependent upon the size of future grants and our stock price at the time of the grant. The last slide on the financial highlights, our balance sheet, which continues to improve and support our dividend policy, including the $0.43 dividend declared on July 17 payable on August 26. We continue to target the distribution of the majority of our annual adjusted earnings. We expect to accomplish this by maintaining a schedule of consistent quarterly dividends and considering an additional special dividend each year. We continue to build cash on the balance sheet, but keep in mind that our cash balance at June 30th includes the cash we use for working capital needs, primarily accrued compensation. If you adjust our June 30th cash balance for the working capital needs, our cash balance is approximately $160 million. We have previously stated we intend to remain conservative and plan to target $100 million of excess cash. The amounts above $100 million will be available for special dividends, debt repayment and expenses for new team lift-outs. Our long-term borrowings are $200 million, so on a GAAP basis our gross leverage is 0.8 times and on a net basis less than zero. Our equity is now positive even after eliminating the equities from nine controlling interests. In closing, we are pleased with the success we continue to enjoy. Our results have been supported by continued strong performance across our strategies which create alpha and AUM growth above and beyond benchmark results. We have also had consistent net flow activity and have benefited from rising equity markets. While we enjoy these periods, we caution that our client flow activity can and will be choppy. Our clients are for the most part institutionally minded and those flows are often unpredictable. I will now turn it back to Eric.
Eric Colson: Thanks, C.J. C.J. and I thank you for your interest today. We will communicate our business as we think about it and provide information for your insights and knowledge. We will open the call for questions now.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions]. The first question we have comes from Bill Katz with Citigroup. Please go ahead.
Bill Katz - Citigroup: Okay, thanks very much and thanks for that update on the philosophy for talent management. Very helpful. A question maybe to C.J. just to start off with, in terms of your margin discussion, when you think about the scale opportunity to offset some of the investment spend you highlighted with the restricted stock grants, what do you think about that margin improvement? Is that from second quarter levels or from third quarter levels net of sort of the initial tranche hitting?
C.J. Daley: I would say we were talking from second quarter levels. So, you know, we think there's still a couple of hundred basis-point improvement in the margin after, you know, after adding in the equity expense. So this quarter's margin at 44.6% is actually inflated because we don't have the equity expense. So if you roll back, you know, the 250 or so basis points next quarter that'd be layering in of that equity comp expense, you know, we think we can continue to grow from there.
Bill Katz - Citigroup: Okay, that's my question. Okay, it's helpful. And then just -- Eric, you mentioned that you're still talking to a few people or teams if you will in terms of the pipeline. Just trying to triangulate between that and C.J.'s comments about the priorities for cash flows if you will. So when we think about the pipeline, do you have a [inaudible] process, you know, time to -- we should be thinking about, we might hear something, and maybe the potential size of the investment that might be out there?
Eric Colson: Bill, you're speaking about pipeline of new teams?
Bill Katz - Citigroup: Yes.
Eric Colson: I think we want to leave some flexibility with cash. Some of the teams we're looking at are in different locations than we operate today. They operate different asset classes in the alternative space. I don’t think we have anything specifically set aside for any one team, but in the initial setup, if it requires us to set up an office or set up different upfront costs, we have some availability there of use of cash. And we're continuing to look at those teams. There's nothing that we want to announce today. But clearly we have some good discussions going on.
Bill Katz - Citigroup: Okay. And then my final question, thanks for taking all my questions, as you think about the flow dynamics, and I'm appreciative of the seasonality of the second quarter versus Q1 for instance, when you look at some of the line items, you know, they are of lumpy nature, any sense to sort of frame out the pipeline as you look into the third quarter, whether it be RFP activity or [wins] not yet funded or any other metric you might be looking at just to help us gauge momentum into the second half of the year?
Eric Colson: Bill, it's Eric. It looks fairly consistent. We looked at our pipeline going back a year ago to match up quarter to quarter. We looked quarter over quarter. And we see a very consistent pipeline right now of RFP activity, semifinals, finals. Our pipeline is pretty well-split between the US and non-US. So I, you know, with regards to the institutional business, you know, we believe a pretty steady rate in the pipeline -- that the pipeline's no more than 50% of our total firm given the mix of our asset base. So it's not indicative of the entire story. But we feel comfortable with the pipeline, that it should continue to keep the positive movement in cash flow.
Bill Katz - Citigroup: Okay. Thanks for taking all my questions.
Operator: The next question we have comes from Robert Lee of KBW.
Robert Lee - KBW: Hi, good afternoon everyone.
Eric Colson: Hey, Rob.
C.J. Daley: Hey, Rob.
Robert Lee - KBW: Hey. Maybe just to go back to the equity-based comp, I guess I just want to make sure I understand a couple of things correctly. I think, C.J., you mentioned the cost of $3.4 million, that was -- that's the annual cost or was that just the cost in the third quarter? Because I'm kind of -- given just some of the parameters you had set out, it kind of struck that that would be the annual cost of the initial grant, so I want to make sure I understand it correctly.
C.J. Daley: No, that's the next quarter's cost. And, you know, when we started going on the road, we started talking about, you know, 2% grants, you know, we're looking at stock price around $30 and our actual grant was just above $50. So as you know, the way this works, you know, we value for accounting purposes the P&L charge at the date of grant. So it was a bit larger than we originally had anticipated.
Robert Lee - KBW: Okay. Well, we can go over some of the details offline afterwards. I guess my question would just be actually going back to the full-year payout, you know, where you'd consider a kind of fourth quarter true-up I guess I'd call it. I guess we should expect that to the extent you do one this year, it would only -- you'd only be looking at the cash generated from the second quarter on or should we really just be thinking of it in terms of the cash on the balance sheet that's in excess of $100 million could be available?
C.J. Daley: Yeah, I would say it's the latter, Rob, that we do have some excess cash on the balance sheet. The Board will consider that as part of the special dividend. But on an ongoing basis, assuming there wasn't anything above $100 million, you would think about it as sort of the cash generated for the year.
Robert Lee - KBW: Okay, great. And just one or two more, and I appreciate your patience, I think you mentioned that the spending on the proxy solicitation, is that expected to begin in the fourth quarter, but you're going to exclude that from adjusted, is that correct?
C.J. Daley: Yeah. I think it will actually start in the third quarter and we will exclude it as a non-GAAP measure and exclude that from, you know, from adjusted earnings per adjusted share.
Robert Lee - KBW: And that will probably continue for two or three quarters I guess, so that things can take a while?
C.J. Daley: Yeah, they can.
Robert Lee - KBW: And lastly, and again I appreciate your indulgence here, just trying to get some sense of, you know, even though it was early on in the quarter, just, you know, any kind of early read on how the progression of new business trends, are you kind of seeing, you know, investor engagement, you know, pick up after maybe June or there hasn't really been an interruption? And I'm just trying to get a sense for your take on various investors' appetite for committing capital.
Eric Colson: Robert, it's Eric. It's been fairly consistent from the last quarter to this quarter. I don’t think we've seen any movement either direction. So I'd say it's fairly consistent following on from last quarter.
Robert Lee - KBW: Right. Great. Thanks for taking my questions.
Operator: The next question we have comes from Michael Kim of Sandler O'Neill.
Michael Kim - Sandler O'Neill: Hey guys. Good afternoon. First, just curious to get your take on sort of funds flow trends that we've seen across the industry, particularly as it relates to the step-up in bond fund outflows and, you know, more broadly, where you sort of see that money going. Is this the catalyst that might drive a more meaningful rotation into equities? And how is that playing out as you kind of look across your funds?
Eric Colson: Yes, that's a tough one right now. You see money departing out of the fixed income certainly in June and, you know, people talk about equity rotation that you don't see across the industry, otherwise you'd see everybody's equity flows going out in aggregate. And we're looking at those flows and I think there's maybe a timing mismatch of them department and where they're ending up. Certainly some flows are going into the alternative space. We see the flow still occurring in alternatives and there's a positive trend, and there's a positive trend towards high value-added strategies such as ours that really distinguish themselves versus the index. And, you know, so really what we can talk about is that we still see quite a bit of demand by the institutional type buyer for truly active high value-added strategies. And if you can articulate your process and your portfolio construction and different yourself from the index and peers, we've demonstrated there's still a good opportunity out in the marketplace. If an equity rotation and a flow starts coming across the industry at large, again that's just an extra wind in our back.
Michael Kim - Sandler O'Neill: Okay, that's helpful. And then maybe just a follow-up on the institutional business, I know you had a sizable client termination in the first quarter, but were there any lumpy redemptions in the separate accounts channel that hit during the second quarter?
Eric Colson: No. No large redemption there. What we did see was quite a bit of rebalancing. I think you see in the institutional marketplace clients, you know, rebalancing back to their asset allocation, back to their limits on specific managers. So we have experienced a good positive experience with the clients and the performance has been good. With that you sometimes nip those up our barriers per each client investment policy statement's limits. So we have seen some rebalancing and you probably have seen that across the industry too though for the more active oriented managers.
Michael Kim - Sandler O'Neill: Okay. And then just finally, any change in thinking as it relates to kind of capacity constraints as you look across the different teams and strategies, particularly given the ongoing growth in AUM?
Eric Colson: We have not announced any other capacity constraints with regards to, you know, the five teams of any material matter. In the Global Value we've been closed in small -- in separate accounts for Global Value which we knew going into the last quarter. We're seeing, you know, some tightening around some of our small cap growth strategy where we've seen some good flow. But there hasn't been any material impact there on our total capacity.
Michael Kim - Sandler O'Neill: Okay. Thanks for taking my questions.
Operator: [Operator Instructions]. The next question we have comes from Cynthia Mayer, Bank of America-Merrill Lynch. Please go ahead.
Cynthia Mayer - Bank of America-Merrill Lynch: Hi. Thanks a lot. Just in terms of the sales overseas, what products are primarily, you know, picking up and what channel is that? And then you mentioned also I think that four out of five channels were positive so I'm wondering which one was not.
Eric Colson: Certainly, Cynthia. Overseas it's really been our global strategies. We have our Global Value, our Global Opportunities and Global Equity. The performance has been strong across all three strategies. So we've been seeing quite a bit of activity with those three strategies in Europe. And we have seen continued interest in our US Value as well in Europe. We've seen a desire to increase their North America or US exposure there. Those have been the primary strategies overseas, specifically more in the European region. We've had some, you know, small interest in Asia, but I'd say that's down the road. With regards to the channels, you know, for this quarter our defined contribution channel was slightly negative for the quarter. And the institutional broker dealer, financial advisor and retail were all in positive territory.
Cynthia Mayer - Bank of America-Merrill Lynch: And why do you think the defined contribution would be negative in the second quarter?
Eric Colson: We continue to see some challenges there of, you know, working with the target date funds and where net new dollars are going. We had a -- we still have positive flows for the year to date in defined contribution that just chalked it up for the quarter of dollars going into broader asset allocation products versus specific strategies such as ours.
Cynthia Mayer - Bank of America-Merrill Lynch: Okay.
Eric Colson: That's been a flat area for the last couple of years though, which we talked about in the road show and we talked about last quarter, is just we're still waiting for that open architecture to really hit in the defined contribution channel. You're starting to see some of that effect occur in the press recently, and we still see quite a bit of interest from consultants around target dates.
Cynthia Mayer - Bank of America-Merrill Lynch: Right. Okay. And then in terms of bringing in new teams, you mentioned, you know, you're looking at teams that specialize in strategies which are viable in the institutional marketplace. So I guess how important is that to you? Is that sort of a requirement for any new team at this point?
Eric Colson: Certainly. We want new teams to fit the institutional mindset and their asset allocation. You know, for us, we look for strategies that will have a long duration in the marketplace. And the longest duration you can go to is that institutional mindset. So we certainly don't want to find, you know, certain strategies that may be a fad or a niche today and you invest an enormous amount of time to it and then it no longer fits a client asset allocation or manager structure. So the institutional mindset is very important to us for new teams and there needs to be that fit.
Cynthia Mayer - Bank of America-Merrill Lynch: Okay. And last question is just a follow up on, you mentioned that you're going to have some higher IT expenses or tech expenses 3Q and 4Q.
C.J. Daley: Yeah.
Cynthia Mayer - Bank of America-Merrill Lynch: Anything special there? I don’t know, you know, how significant that is. And also, is it just sort of a step-up that will continue going --
C.J. Daley: Yeah, I would just say, it's nothing specific, it's just more the timing of projects. So, you know, across non-comp expenses, we're running a little lighter in the first two quarters than we anticipated, and we expected to pick some of that up in the second two quarters. But I'd say we're talking on a magnitude of, you know, $1 million to $1.5 million across the sort of the non-comp, yeah, the non-comp categories.
Cynthia Mayer - Bank of America-Merrill Lynch: Okay, great. Thanks a lot.
Operator: The next question we have comes from Chris Shutler of William Blair.
Chris Shutler - William Blair: Hey guys. Good afternoon.
Eric Colson: Hey, Chris.
Chris Shutler - William Blair: In the Global Opportunities and Global Equity strategies, obviously both still pretty small today relative to your total AUM and I certainly recognize the, in Global Equity, the PM changed earlier this year. But any sense in those two strategies given the strong performance how the pipeline is building?
Eric Colson: Yeah, certainly, the Global Opportunities has a very robust pipeline right now, has a longer track record, and we see quite a bit of interest both the US and non-US for that strategy. The Global Equity, however, given its performance and, you know, the team's performance across all the strategies for International Equity, Non-US Small Cap and the new Global Small Cap strategy, they've all been doing quite well. So that is picking up steam. And both strategies make up quite a bit of the pipeline right now.
Chris Shutler - William Blair: Okay. And then the only other question I had is just on the distribution front. Any new developments to note in the I guess the build-out of your distribution effort, new geographies, anything like that you could update us on?
Eric Colson: No. There's no build-out, anything new. We've, you know, continue to operate quite well out of our London office. The UCITS experienced good solid growth, those across the $1 billion mark in assets in the UCITS. As I mentioned on the call they have a faster growth rate than what we're seeing here in the US. So we're very pleased with that outcome. And we haven't added any new resources around it.
Chris Shutler - William Blair: Okay. Thank you.
Operator: At this time we're showing no further questions. We'll go ahead and conclude our question-and-answer session. I would now like to turn the conference back over to Mr. Eric Colson for any closing remarks. Sir?
Eric Colson: Thank you. Well, I just want to thank everybody for their time and appreciate everybody's questions. Thank you.